Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Wausau Paper 2014 Second Quarter Financial Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. (Operator Instructions) Today’s conference is being recorded. I would now like to introduce your host, Director of Investor Relations, Perry Grueber. Please go ahead.
Perry Grueber: Thank you, James. Good morning everyone. Thank you for joining us. I’m pleased to be here today with Mike Burandt, our Chief Executive Officer; Matt Urmanski, President and Chief Operating Officer; and Sherri Lemmer, our CFO. After our prepared remarks, we look forward to your questions. This call is being webcast and slides are provided to summarize key elements of our presentation. Your webcast viewer should allow you to download these slides and this morning’s earnings release, both of which are also available from the Investors section of our website at wausaupaper.com. During this call, we will make forward-looking statements that are subject to known and unknown risks and uncertainties, including those outlined and referenced on Slide 2 of this morning’s presentation. Additionally, our presentation refers to certain non-GAAP financial measures. A reconciliation of these measures to GAAP is provided in the appendix. With those formalities out of the way, I’d now like to turn the call and our presentation over to Mike Burandt, Wausau Paper’s Chief Executive Officer. Mike?
Michael C. Burandt: Thank you, Perry and I join you in thanking everybody for joining us this morning. To begin, I’m pleased to say that Wausau Paper during the second quarter continued along the path of continuous improvement that lays the foundation for solid future growth both from a revenue perspective, as well as EBITDA. First, during the second quarter, we finalized our refinancing efforts, a major milestone and Sherri Lemmer, our CFO, will cover this in greater detail in a few minutes. We can all now focus all of our energies on operational improvements. Our adjusted EBITDA performance of $9.9 million in Q2 represents a 12.5% increase over Q2 of 2013 adjusted EBITDA of $8.8 million and a substantial improvement over Q1 2014 of $5.6 million reflecting our commitment of continuous quarter-over-quarter performance improvement. Our shipments were record 4.3 million cases for the second quarter which is a 3.1% increase versus Q2 2013 and again we outpaced the market growth and our mix shift to strategic product shipments continues to strengthen. They grew to 49% of our shipments compared to 47% last year at this time. We launched our new Artisan premium towel line and our high-capacity OptiCore bath tissue dispenser. We’re very excited about the impact these launches will have on our performance going forward and more importantly for positioning that they give us in the market. We continue to show improvements in the operations and the performance of our ATMOS machine. During the second quarter excluding the impact of our Yankee grind in Harrodsburg, we operated at 95% of standard versus the first quarter at 93% and we just finished July at 98.5%, so we were feeling really good about our progress. Let me now turn to Sherri to cover the financials in greater detail.
Sherri L. Lemmer: Thank you, Mike. Moving to Slide 6, net sales for second quarter of 2014 were $89.2 million, up approximately 2% over the second quarter of 2013 net sales of $87.6 million. Our sales volume as measured in cases of paper products shipped, was at a record second quarter level of 4.340 million cases. As Mike mentioned, this volume improvement represents an increase of 3.1% over the second quarter of 2013. Strategic product shipments, those products that are sold in conjunction with our proprietary dispensing systems or that are produced from our premium substrates, rose to approximately 49% of total shipments in the second quarter compared to approximately 47% during the second quarter of last year. While our mix of products improved quarter-over-quarter similar to the first quarter of this year, competitive pricing pressure on portions of our product portfolio, a result of industry capacity additions that affect capacity utilization of assets in the broader towel and tissue market and depressed market prices for parent rolls, along with the unfavorable impact of the Canadian exchange rate on products sold to our customers in Canada, which represents about 10% of our overall net sales negatively impacted average net selling price. These factors on a quarter-over-quarter basis offset partially by mix improvements noted earlier unfavorably impacted average net selling price about 1% or about $1 million. Turning to the earnings before interest, taxes, depreciation and amortization or EBITDA, in the second quarter, we recognized severance costs associated with our former CEO of approximately $1.6 million and with the departure of two of our Board members on June 19, we recognized about $1.4 million of expense as provisions within various compensation plans with respect to change in control were triggered and vesting of certain awards was accelerated. Excluding these nonrecurring type events in the quarter, we reported an adjusted of $9.9 million this year, compared to adjusted EBITDA of $8.8 million a year ago. Improved volume and mix of products shipped, manufacturing efficiency gains and cost-containment efforts, contributed to the quarter-over-quarter improvement in adjusted EBITDA. The waterfall chart on Slide 7 steps through the adjusted EBITDA improvement from the first quarter of this year to the second quarter of this year. For the first quarter, we reported adjusted EBITDA of $5.6 million. During the second quarter of the $1.1 million improvement in average net selling price, approximately half is due to improved mix of products shipped and about half is due to actual selling price improvement. Sales volume was up about 12.5% on a sequential basis due primarily to demand seasonality in our markets, but also due to depressed first-quarter shipments as a result of severe winter weather. Operationally, cost-containment initiatives and operating efficiency improvements offset by the grind of the Yankee and the paper machine in Harrodsburg, Kentucky benefited adjusted EBITDA about $500,000 in the quarter-over-quarter comparison. Finally, reduced share-based compensation expense, as well as legal and professional fees, other than those related to proxy defense costs, were primary drivers of the $700,000 improvement in the selling, general and administrative line. Turning to adjusted earnings per share, which excludes the after-tax impact of the leadership changes mentioned earlier, we reported a loss after tax from continuing operations of $0.04 per share in the second quarter of 2014 and an adjusted net loss of $0.12 per share for the full six-month period. In the same three and six-month periods of 2013, we reported adjusted net losses of $0.05 and $0.12 per share respectively. On an after tax basis, average net selling price unfavorably impacted the second-quarter comparisons by $0.03 per share and the first half comparisons by $0.07 per share. As discussed earlier and during our first-quarter call, competitive pricing pressure was the primary driver of this unfavorable impact versus a year ago. Sales volume improving 3.1% quarter-over-quarter and 2.7% year-to-date through June benefited the comparative periods by $0.01 and $0.02 per share, respectively. Weather was a factor negatively impacting the first quarter of this year and therefore, negatively impacting the six-month comparison, about $0.01 per share on an after basis. An operational improvement and cost-containment efforts, as well as a year-to-date decline in selling, general and administrative costs on an adjusted basis impacted the 2014 versus 2013 after-tax results by $0.03 and $0.06 per share in the quarter and first half comparative view. On June 30, we had debt net of cash and cash equivalents of $143.9 million. As we concluded the first quarter of this year, we had agreed with our lenders that we would seek Board approval to secure our debt obligations. During the second quarter, we worked toward the refinancing of our Company under a secured structure and obtained senior debt ratings of B2 and B- from Moody’s and Standard & Poor’s respectively. On July 30, we completed a transaction. As a result our new debt structure is comprised of a $175 million term loan that expires in July 2020, and a $50 million revolving credit facility that matures in July 2019. Both of the credit agreements are secured through a pledge and security agreement at substantially all of the company’s assets. The agreement contains customary events of default, representations and warranties and affirmative and negative covenants. Net proceeds of $171.5 million from the transaction were used to prepay the existing $150 million of unsecured debt outstanding under the note purchase and private shelf agreement, along with accrued interest and make whole payments of approximately $14.4 million, and transaction costs of approximately $3.4 million. The balance will be utilized for general purposes. The prior $80 million revolving credit facility was undrawn at the transaction date. Interest on the new debt is variable and as of July 30, the effective cost of debt under the new structure is about 6.9%. With the debt restructuring now behind us we can continue to focus on driving improvement to bottom-line results and improving cash flow. With that, I’ll turn the call to Matt.
Matthew L. Urmanski: Thank you, Sherri. Good morning. Today, I would like to cover in greater detail the momentum we established in the second quarter. Specifically, I’ll cover our sales trends in our premium product offering and discuss the strengthening of our strategic mix, which combined has further enhanced our leadership position and our environmental product offering. I will discuss the continued progress our new paper machine. Finally, I will conclude with the key assumptions for our third quarter 2014 outlook. As Sherri mentioned earlier, Wausau’s volume growth was up 3.1%. We continue to grow at rates higher than the broader away-from-home market. Of specific note, our growth within our strategic product category grew 8.6% over the second quarter of 2013. As a reminder, strategic products include 100% of our premium product offerings and all products sold through proprietary dispensing systems. To assist with guidance, strategic products carry a better than 2 to 1 contribution margin experience over the support product category. Moving to Page 12, the key driver to our strategic growth has been the relaunch of the DublNature brand, now primarily using our new ATMOS-based substrate. Since the introduction in May of 2013, quarterly volume has grown by an average of 35%. In the second quarter of 2014, DublNature case volume grew 39% over 2013 demonstrating strong market acceptance and continued momentum a full year after the product launch. To further our unique 100% recycled product platform under a good, better, best branding strategy, we launched a new to the world true premium line of towels in May under our Artisan brand. The Artisan product line is designed to compete with the most premium products in the away-from-home market and is uniquely positioned to be the only true premium product that is 100% recycled. The product launch included eight new products and it is displacing our legacy virgin-based DublSoft products. Despite a mid-quarter launch, the combined offering of Artisan and DublSoft is up over 24% from the second quarter of 2013. We have received the expected positive reaction from both distributors and end-user customers and expect even higher growth levels in the third quarter. Wausau has an ongoing commitment to be the leading provider of environmentally-sensitive products. We aligned with the highly regarded third-party certification agency, Green Seal back in 2003. The industry recognizes their certification as the most comprehensive and the highest standard of environmental products in the industry. The launch of DublNature and Artisan over the last year has assisted in driving Green Seal-certified products to over 60% of our total product mix. Year-to-date total Green Seal shipments are up 15.4%. Moving to Page 15, progress on the new paper machine continues to be strong. In the first quarter of 2014, we focused on the commercialization of the new Artisan product line. In the second quarter, we focused on optimizing the efficient operations of the machine. I’m pleased to report strong operational results. In conjunction with supporting the launch, we’re extending the length and marking record ATMOS production runs. In addition, we have achieved 10 new productions records in the quarter. We continue to demonstrate our ability to meet and achieve targeted production levels and expect us to provide further financial benefit as we move through the balance of 2014. I would now like to share some thoughts on our third quarter outlook. First, we expect continued above-market rate growth on the strength of market acceptance of our new products and continued focus on strategic product sales, including proprietary dispensed products. Recently launched, our new high-capacity OptiCore tissue dispenser has been well-received and the related product pull-through is achieving target margins. It is an attractive addition to our proprietary product lineup. As we move into the third quarter, we expect to see price improvement from our and the recent broad market announcements. Given the continued availability of low-cost parent rolls in the market, we have modeled this improvement conservatively at our forecast. The primary improvement in our price will be driven from further gains in our strategic product mix. Fiber increases have been moderate over the last 12 months. However, we do anticipate slightly higher costs moving forward on the strength of general economic improvement. We expect further operational cost improvement from our papermaking platform, as well as our converting operations. These improvements will be offset by the cost of an upcoming routine fall maintenance outage at our Middletown facility in September with an estimated cost impact of approximately $1.5 million. Combining all these elements, we expect an adjusted third quarter 2014 EBITDA in a range of $10 million to $11 million. I’ll now turn the call back to the Mike for some final comments.
Michael C. Burandt: Thank you, Matt. In closing, let me say that I feel good about the accomplishments in the second quarter. Specifically our refinancing is complete, the launch of our new products and our operational improvements. We are meeting our objectives and the accomplishments, as I have stated, provide the platform for our continued profitable growth. As we look to the third quarter, as Matt said, we feel very confident providing sequentially improving EBITDA guidance of $10 million to $11 million, which does include the expected $1.5 million cost of the outage at Middletown. This represents an improvement over second quarter and will be somewhat flat to the third quarter 2013 when there was no outage. During the third quarter, we will see the launch of our new Alliance high-capacity proprietary towel dispenser, which we are very excited about and we believe, will be a game-changer. We continue to focus on efficiency gains and cost improvements in our operations. As I have said before, we have great assets, which allow us to compete very effectively. So with our product launches, our improvement initiatives and our achievement of our strategic market objectives, I feel Wausau Paper is very well-positioned to realize and sustain long-term profitable growth. And finally, let me say that after five months as CEO, I feel even stronger about this. Thank you again all for joining. I’ll turn it back to Perry.
Perry Grueber: Thank you, Mike. James, will you poll for any questions please.
Operator: Thank you. (Operator Instructions) The first question is coming from the line of Steven Ranieri with Alee Capital.
Steven Ranieri: Good morning, everybody. I am wondering, Mike, if you could talk about, now that you’ve been there a little while, anyway, some of the categories or the buckets, if you will, of areas where you see potential for operational improvement and cost discipline, et cetera? Thank you, guys.
Michael C. Burandt: Sure. And we’re identifying those. Matt indicated one of them. We’re looking very extensively at our converting operations. We believe there is opportunities there for throughput improvements and material savings, which we are identifying and we believe that’s a big bucket. We are going to do a benchmark costing study on our paper machine to determine what opportunities there may be there. And even in the sales and marketing arena, we’re going through looking at SKUs. We’re looking at strategic pricing objectives. We’re looking at dispensers in general. So we feel we’ve identified buckets where opportunities exist and we will identify what we think the value are in the next couple of months.
Steven Ranieri: Thanks. Good luck.
Operator: Nicholas Snyder with Snyder Brown Capital is next. Please go ahead.
Nicholas Snyder: Hi, guys. Just looking at kind of the quarterly cash burn, we’re looking at $3 million in quarterly interest, $1.5 million in quarterly dividends, $2.5 million in quarterly maintenance CapEx and $6 million in capitalized dispenser spend. So it looks like you need about $13 million in EBITDA just to get to cash flow break even. Am I looking at everything correctly there?
Sherri L. Lemmer: Yes, so if you are starting again considering those pieces taking the EBITDA perspective, that’s probably directionally in the ballpark, yes.
Nicholas Snyder: Okay. So are you already drawing on the new $50 million facility and do you have access to all of that?
Sherri L. Lemmer: No, we are not. We are not drawing on that facility at this time. Keep in mind that net debt at the end of the quarter was $143.9 million, so we do have cash and cash equivalents on our book as we speak today. So we are not.
Nicholas Snyder: How much cash do you guys have currently?
Sherri L. Lemmer: Again, from a quarterly perspective, we’ve been very prudent in how we’ve been evaluating all of our spend. I think what you’ve outlined is directionally if you take quarter by quarter, the overall estimate for the year, but we evaluate all of our spend and we’re pretty prudent in how we evaluate projects and other elements as we move through periods of time.
Nicholas Snyder: But you do have access to the full $50 million today?
Sherri L. Lemmer: We have access to about $40 million of the $50 million. That $50 million revolving credit facility is based on working capital, inventory and receivable elements.
Nicholas Snyder: Okay. I mean starting from the beginning of the year at $19.6 million in cash, it looks like you guys burned about $13.5 million in the first half and with the OID on the new facility and the make-whole premiums, plus the pension payment, that will be a net burn of another $3.8 million. So looking at Q3 with some proxy costs costing another $3 million or something, it looks like you guys will be getting pretty close now to being – running out of cash and running down that revolver. Just wondering in terms of – it looks like you are only guiding for about 1% of price increase and trying to understand if there is a lot to be cut on the cost side or how this doesn’t turn into a liquidity problem next year?
Michael C. Burandt: Okay, yes, the reason when I’ve outlined the improvement initiatives, we have not quantified. We’re in the process of quantifying the values of those, but we do believe that there is a large opportunity for us to realize some substantial saving, which is exactly what we’re going after. So we have a belief that that will not have a problem. Secondarily, we’ve been very modest in our improvement or our forecasting on price improvement and we believe there is more there, but we are not forecasting that at this point in time. So we feel that we’ll be fine and we’re going to be very prudent about how we spend our cash. So there is no question that it’s tighter than we would like it to be, but we’ve doing all the things I think necessary to get us into a better position for cash management and it’s the cost initiatives that we’re doing as well as reducing any CapEx that is not necessary to spend.
Nicholas Snyder: Okay, great. And can you tell me a little bit about – we’ve been hearing about Solaris, a Chinese competitor backed by Asia Pulp and Paper, that’s apparently been pricing aggressively and trying to grow in the away-from-home space. Have you guys been going head-to-head with them?
Matthew L. Urmanski: Yes, Solaris is a competitor that has been in the marketplace on and off for a number of years. I could even probably say seven or eight years. They tangentially come in with aggressive pricing and then they tend to leave. Do we see them in the marketplace? Occasionally, although it’s not a very frequent occurrence.
Nicholas Snyder: Okay, great. I’ll get back in the queue. Thanks a lot, guys.
Operator: (Operator Instructions) We have no further questions.
Perry Grueber: Very good. Thank you, James. We appreciate you taking part in today’s discussion. We thank you for your continued support of Wassau Paper. We’d also like to mention that we’ll be attending the RBC Industrial Conference in Las Vegas on September 9. We hope to see you there. Finally, I’ll be available for the balance of today and tomorrow for any follow-up you might have. James?
Operator: Thank you. Ladies and gentlemen, this conference will be available for replay today after 11 a.m. through August 14 at midnight. You may access AT&T Teleconference Replay System at any time by dialing 1-800-475-6701 and entering the access code 333244. International participants may dial 320-365-3844. Those numbers again 1-800-475-6701 and 320-365-3844, enter access code 333244. That concludes the call for today. Thank you for your participation and for using AT&T Executive Teleconference. You may now disconnect.